Operator: Good day and welcome to Nova’s First Quarter 2021 Results. Today’s conference is being recorded. At this time, I would like to turn the conference over to Miri Segal of MS-IR. Please go ahead.
Miri Segal: Thank you, operator and good day to everybody. I would like to welcome all of you to Nova’s first quarter 2021 financial results conference call. With us on the line today are Mr. Eitan Oppenhaim, President and CEO and Mr. Dror David, CFO. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements and the Safe Harbor statement outlined in today’s earnings release also pertains to this call. If you have not received a copy of the release, please view it in the Investor Relations section of the company’s website. Eitan will begin the call with a business update, followed by Dror with an overview of the financials. We will then open the call for the question-and-answer session.
Eitan Oppenhaim: Thank you Miri and thank you all for joining our first quarter financial results conference call. I will start the call today by speaking about our first quarter results and performance highlights. Following my commentary, Dror will review the quarter’s financial results in detail and we will conclude with the guidance for the second quarter of 2021. Nova continued to perform well in the first quarter of the year, delivering outstanding results and exceeding both our revenue and profitability guidance. The growth in our business momentum as reflected in our financial results is driven by our entire product portfolio across markets, customers and technology nodes. Our revenue grew a 38% year-over-year to a record high, while our non-GAAP net profit grew at 52% year-over-year to a record level as well. During this remarkable quarter, we also achieved record bookings and operating cash flow. The solid growth momentum this quarter and the outstanding performance we demonstrated along the last year could be accomplished only by consistently executing our strategic road map, while creating greater agility in our operational model. The flexibility we have built into our operating model, combined with the investment we have made to secure our supply chain during COVID-19, enabled us to ramp up our production capacity by more than 30% to meet on-time delivery in these surging markets. Our differentiated portfolio, honed by our commitment to innovation continues to amplify our position with leading customers as we address their challenging technical transition to new generations of semiconductors, which combine innovative complex architectures with new novel materials. Our achievement this quarter marked another successful milestone in our healthy growth trajectory for this year as we expand our market presence and deploy our new leading-edge technologies. Nova’s diverse revenue across multiple device segment is a result of the growing demand at the end markets for the electronics, which continues shaping the growing demand at the semiconductor fabrication supply chain. The main catalysts are driven by the growing digitization of multiple industries and include improvements in data management, network infrastructure and broader usage of AI in different markets. In addition to pure demand for silicon and in order to support these dynamic changes, the complexity embedded in building next-generation technology nodes requires a breed of innovative products, specifically in process control, to support the development and fabrication of new advanced memory and logic devices.
Dror David: Thanks, Eitan. Good day, everyone and thank you for joining our first quarter 2021 conference call. Total revenues in the first quarter of this year exceeded our guidance and reached an all-time record of $84 million, representing a 38% growth compared to the first quarter of 2020. Looking at product revenue distribution, approximately 65% was attributed to logic and foundry and approximately 35% to memory. Geographically, Taiwan and Korea, each contributed more than 25% to our product revenues, while China was slightly under 20%. On a per customer basis, 4 major customers accounted each for over 10% to our product revenues, including 2 foundry customers and 2 memory customers. Blended gross margin in the first quarter increased to 57%. Product gross margin came in at 62%, while service gross margin increased to a normalized level of 39%. Operating expenses for the quarter increased to $28.2 million on a GAAP basis and $25.8 million on a non-GAAP basis. Sales and marketing expenses increased in the quarter mainly due to higher SIMS commission expenses and other costs of sales personnel. On a non-GAAP basis, we expect sales and marketing expenses to normalize between $8 million and $8.5 million in the upcoming quarters. Effective tax rate in the first quarter of 2021 was approximately 13%, slightly lower than our effective tax rate model of 15%. Earnings per share on a GAAP basis was $0.60 per diluted share and earnings per share on a non-GAAP basis was $0.70 per diluted share, both exceeding the company guidance for the quarter and representing a new record for quarterly earnings per share.
Eitan Oppenhaim: Thank you, Dror. Before we take your questions, I would like to use this opportunity to thank once again Nova’s employees for their dedication and outstanding efforts, leading to these record results during these dynamic and uncertain periods. The past year has been a truth test of three of grid and resilience of the company and our local team across the globe. They didn’t miss a bit along the year. Our local offices were strengthened tremendously to maintain top quality service for our global customers and to capitalize on various emerging opportunities. Our production teams never stopped working sometimes around the clock to ensure we deliver on our promises and mid-market demand. Every single one of Nova’s employees stepped up to the challenge and did their part. As we gradually and cautiously resume our familiar working routines, starting from Israel, where 97% of the employees are vaccinated, I would like to take to thank each and every one of them for their contribution to our performance and ongoing success. With that final note, we will be pleased to take your questions. Operator?
Operator: Thank you.  We will now take our first question from Quinn Bolton from Needham. Please go ahead.
Quinn Bolton: Hey, Eitan and Dror. Good afternoon and congratulations on the great results. I wanted to just start first with maybe a clarification, Dror. It looks like deferred revenue on the balance sheet jumped up pretty meaningfully and maybe to a record level, wondering if you could discuss what led to that increase? Is it reflecting greater software sales that are recognized over time? Is there a service component to that or could it be associated with some of the new tools that you are putting into the field? Thank you.
Dror David: Yes. So, the deferred revenues did increase significantly in the first quarter and most of the increase is related to the new products that we are introducing into the market. We have a few of these in several product lines. And in some cases, we installed the tool, the customer is already paying and the acceptance is actually being delayed to a later period. So, most of this increase is related to these new product introductions.
Quinn Bolton: Great. Thank you. The second question I have is many of your peers are citing sort of growing capacity constraints that may be starting to limit upside in the second quarter or perhaps even in the second half. Wondering if you’re having or seeing any supply chain constraints that might be limiting your near-term outlook, either again in the second quarter and the second half, whether it be semiconductors, whether it be passive devices, anything else that go into your systems?
Eitan Oppenhaim: So the answer is no. We took a lot of actions during 2020 in order to expand both our production capacity as well as securing the supply chain from the understanding that once everybody will go out from the corona, we will have here an over-demand issue with the supply chain. We secured both our inventory as well as the production capabilities, both in Israel and the U.S. and in Taiwan. And currently looking in 2021, we don’t see any issue coming from either productivity perspective or supply chain. And everything is based on the current situation. If something will change economically or from the COVID perspective, then we need to evaluate again. But as it looks right now, we don’t have constraints to increase capacity.
Quinn Bolton: Okay, great. And then, Eitan, for you, my last question is it sounds like you’ve got an increasing number of PRIZM and listed some tools out in the eval. But just wondering if you could give us any sense on other new technologies you’re developing, whether those technologies would be more in the dimensional space or the material space?
Eitan Oppenhaim: So obviously, once we release those technologies to the market, we will announce it. I think that on the current growth path that we have and the surge in demand for the current products that we have, it will take a few quarters more in order to introduce more new technologies. But definitely, the two areas that we are focusing right now or the three areas we are focusing right now, one is finding a new channel of information for the dimensional part and one of them you saw as the PRIZM. The second pillar will be more products on the material side because it’s becoming a real issue to measure the profile composition, stress of those materials. And you saw the ELIPSON coming in. And the third element is more and more software, machine learning elements as they are compensating part of the hardware that will be very tough to reach in this tight windows and tight specification that the customers are asking. So most of the development right now or most of the investment right now goes into these three directions.
Quinn Bolton: Thank you, Eitan. Thank you, Dror. I will get back in the queue.
Eitan Oppenhaim: Thank you. Thank you very much.
Operator: We will now take our next question from Jamie Zakalik from Bank of America. Please go ahead.
Jamie Zakalik: Hi, guys. Thanks for taking my question and congrats on the great results. I had a question on China. So how are you guys seeing demand from the domestic China region? I think some of your peers have mentioned they expect domestic China WFE this year to be around $10 billion, maybe slightly higher. So what’s been your visibility into demand and has the incremental upside you have seen been concentrated in any specific region?
Eitan Oppenhaim: So thanks for the questions. So let’s start from the second question. Regarding the geographical distribution of the revenue, we definitely in the first quarter, seen more demand coming from Korea. Actually, it was a record revenue for us coming from Korea this quarter. So we see growth both in DRAM, logic and VNAND coming from Korea during the first quarter. Taiwan is already elevated with a larger foundry over there that is spending both on 5-nanometer and 3-nanometer. And regarding to China, we do see increasement of investment in the local domestic in China. The fact that we – while part of our product can shift from Israel, allow us to gain market share as well as to get into those investment scheme much easier than part of our peers, and we are enjoying from that. And if we are looking right now on the distribution over the year, China is very stable to us across the 4 quarters with some options for upside from domestic – both domestic Memory and domestic foundry in China.
Jamie Zakalik: Got it. That’s very helpful. And then you guys talked about a number of impressive product offerings. I kind of wanted to ask a little bit more about the new ELIPSON tool. Can you discuss what’s driving the need for this specific tool, how it’s really different from what else is in the industry? And any color on customer momentum so far?
Eitan Oppenhaim: So ,if I am looking right now on the total portfolio of Nova for material measurement, it’s very unique, and it’s one of a kind in the market. Actually, both for the XPS and the ELIPSON, those are products that used to be measuring materials characterization in the laboratories. And what we did, actually, we took them into their production, and we took them to applications that are in-line, in-die. And besides Nova, I – there isn’t any other competitors in the market that is doing either composition or stress with any other technology in the market. So for that uniqueness, that you are taking some technologies that would not exist today in the production and taking it from a very slow laboratory tool and bring it to high-volume productivity in the fab itself, it’s creating a lot of demand. Now regarding the application itself, we need to understand right now that in order to improve today’s performance on a chip, if previously everybody talked about the more law and scaling, today, it’s a combination of scaling, which is dimensions and a lot of investment in materials. So we do see in the future as we see in the last few quarters with our materials portfolio, a lot of demand for materials measurement. It’s always running around composition, stress, strength, crystallinity of the silicon and many other materials measurement that are really needed today in process control, and we are very unique in that.
Jamie Zakalik: Got it. And if I could squeeze one more in, some of your peers have mentioned that they now expect WFE to be back half loaded this year. Are you seeing the same? And what does that mean for your revenue profile throughout the year?
Eitan Oppenhaim: So usually, we don’t give guidance beyond the quarter, and I’m saying it always in the first quarter. It will be a bit naive to look on the fourth quarter and assume that we know exactly what is the visibility in the fourth quarter. And we see this upside in the second half, but I think that the second half will be better than the first half, but we don’t see it as a major increase in the second half. Everything is under the assumption that we don’t yet see the full visibility on the fourth quarter.
Jamie Zakalik: Got it. Thank you, guys.
Eitan Oppenhaim: Thank you.
Operator: Our next question from Patrick Ho from Stifel, please go ahead.
Patrick Ho: Thank you very much and congrats on a nice quarter and outlook. Eitan, maybe first off, you’ve talked about a lot of your development work that’s now coming to fruition with new products as well as new node transitions as you look forward into the foundry, logic, you did bring up in your prepared remarks, comments about the all around nanowires and the future transition structure on the foundry, logic side of things. How much capital intensity do you think it increases for both your dimensional and materials tools as the industry makes that migration?
Eitan Oppenhaim: So I think that if we’re looking right now, by the way, not only on the logic. If we’re looking also on the memory, there is two inflection points that is requiring a lot of investment in creating a better profile of the chip, okay? In the Finland, it’s majorly increasing the account layers of the memories, which don’t allow you to do one shot edge or one short deposition. And therefore, you need to do have a multi-stack structure and this multi-stack structure in the VNAND creating a lot of difficulties that can be controlled only with more intensity on the metrology side, mainly dimensional part. And if you are looking right now on the logic, the gate all around or the nano sheet structure with three and maybe five sheets later on create a whole new story, okay? So the transistors are not anymore – traditionally, they are outstanding. And currently, they are becoming horizontal and in order to make it as an accurate and precise structure, you need to add a lot of materials, and it’s a very tough structure to control. And every time that something is tough to control, you need more metrology, and you need more intensity on those process control tools. So definitely, when we are looking right now on the advanced nodes, both on the north of the 170 layers in VNAND as well as the nano sheet 2 nanowires with 3 sheets in logic. We definitely see increasement in tens of percentage of intensity in those technology nodes.
Patrick Ho: Great. That’s helpful. And maybe as my follow-up question, in terms of the services business, you mentioned you had a record quarter this year. I know over the last couple of years, you’ve increased your capacity, particularly in Israel, that’s obviously helped with the manufacturing side of things and getting tools up. Can you discuss your services infrastructure and whether you need to invest more to keep pace with that growing business and the number of tools that are starting to hit the field?
Eitan Oppenhaim: So obviously, once you increase the installed base, you need more services and we need more resources to support those – this installed base. But I think that if we’re looking on the larger picture, the service revenues are distributed over three elements. One is the contract or the service-based licenses for services, for those tools, the installed base in the trailing edge. And the target, of course, is to have as much – as many tools as you can, in those service contracts or license-based contracts. This is one part. The second part, of course, is time and materials, which means those customers that don’t like this – the contract part you are – you need to support them by call, which is a part of the service revenue. And the last one is everything that we call as the value-added services which is – this is the growing part and this is where we invest both on road map. We have a specific service road map, which means productivity upgrades, hardware and software of trailing tools and installed base, which are installed for a couple of years. We have, in this part, also unique software elements to control the tools in large volumes only for the service part so – and of course, many more. So part of the development that we have in the R&D, is to develop those value-added services that actually you can earn money by add them to the current installed base. And I’m not talking just about release upgrades or just throughput upgrade, I’m talking about real functionality changes that we can squeeze money for – and revenue from the installed base in order to give more functionality and productivity to the customers. So definitely, there is investment in that. And definitely, we are growing in investment in services.
Patrick Ho: Great. Thank you very much.
Eitan Oppenhaim: Thank you, Patrick.
Operator: We will now take our next question from Atif Malik from Citi. Please go ahead.
Atif Malik: Eitan, you talked about the 10% goal for the software to be as a percentage of the products. Can you help us understand where you guys are right now in terms of software as a percentage of your sales?
Dror David: Yes. So in the first quarter of ‘21, we were at approximately 7% to 8% of product revenues.
Atif Malik: Okay. And then as my follow-up, I just want to understand what percentage of your product portfolio are integrated metrology and how much of that is exposed to kind of the decision-making at the OEMs, the processing tool companies in the U.S. and how much of it is influenced by your direct customers? And the reason I ask that question is because some of these OEMs are included in talking about kind of a holistic kind of infection and metrology, and they talk about some in-house capability in terms of putting metrology capabilities on the processing tool. So I just want to understand how much of your card exposed to integrated metrology and if they should be any concern in terms of in-sourcing risk at these OEMs? Thank you.
Eitan Oppenhaim: So, Atif thank you for the question. In regard to the first part, we don’t breakdown the revenues coming from integrated and stand-alone, and we would like to stay in this policy because it has a lot of competitive information once we start breaking it down following the market demand. In regard to the second question, I would like to shine a bit light about the metrology and the way that it’s been decided. So integrated metrology, although it’s connected to an OEM tool, it’s a totally different market, decided by the customers and the OEM beside the fact that they need to be ready to connect to the integrated. And of course, that we have very good relationship with all of them, decisions are made by customers and the OEM don’t have a say in that, okay. Now looking right now on the way that metrology has been divided. It has three parts. The first part is a standalone, it’s tools that are standing as the standalone station not related to the OEM and the wafers are traveling to this stand-alone system. If you go one level down, it’s the integrated metrology, which connected to the OEM and give metrology as wafer to wafer control, okay? So we know how to control the metrology between the wafers. And if you go – and this is where Nova exists, and if you go one level down, you go to the Institute. This is what the OEMs are doing. And institute, usually, it’s for the polishing or the etching process itself, it can’t even compete with the integrated. So it’s three different markets that exist by itself and Nova is not competing with the institute and the institute is not competing with the integrator. So therefore, the OEM discussion about having internal metrology through the institute or very smart sensors, are not cannibalizing any of our markets.
Atif Malik: Thank you, Eitan. Very clear.
Eitan Oppenhaim: Thanks.
Operator:  As there are no further questions at this time, I would like to turn the conference back to Eitan Oppenhaim, President and CEO for any additional or closing remarks.
Eitan Oppenhaim: Thank you, operator and thank you all for joining our call today. Please stay safe and healthy. Bye.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.